Operator: Ladies and gentlemen, thank you for standing by. Welcome to the second quarter earnings call of Albany International. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer section. Instructions will be given at that time. At the request of Albany International, this conference call on Tuesday, August 7, 2018 will be webcast and recorded. I would now like to turn the conference over to Chief Financial Officer and Treasurer, John Cozzolino, for introductory comments. Please go ahead.
John Cozzolino: Thank you operator and good morning everyone. As a reminder for those listening on the call, please refer to our detailed press release issued last night regarding our quarterly financial results with particular reference to the Safe Harbor notice contained in the text of the release about our forward-looking statements and the use of certain non-GAAP financial measures and associated reconciliation of GAAP. And for purposes of this conference call, those same statements also apply to our verbal remarks this morning. And for a full discussion, please refer to that earnings release as well as our SEC filings, including our 10-K. Now I will turn the call over to Olivier Jarrault, our Chief Executive Officer, who will provide some opening remarks. Olivier?
Olivier Jarrault: Thank you John. Good morning. Welcome everyone and thank you for joining the second quarter earnings call. We will follow a similar format of past calls. I will begin with an overview of the quarter. Then John will take you through our financial results in more detail. After which, I will provide an update to our outlook. And we will then take your questions. Q2 2018 was a very good quarter for Albany International with strong performance across both businesses. Total company net sales increased 19%, or 17% excluding the impact of ASC 606 and currency translation effects. Compared to Q2 2017, which included a $15.8 million pretax charge for revisions in AEC contract estimates, net income and adjusted EBITDA both increased sharply. Net income increased to $30 million while adjusted EBITDA grew to $62 million due to higher sales and improved productivity in both MC and AEC. MC sales in the second quarter, excluding the impact of ASC 606 and currency translation effects, increased 8% compared to last year. The increase was principally due to global growth in sales for the packaging and tissue grades, more than offsetting a continuing but small decline in publication grade sales. A substantial amount of the sales growth was driven by North America, where sales increased across all paper grades. MC gross margin was strong during the quarter, rising to 48.9%, a nice improvement, compared to 48.3% in Q2 last year. The increase was principally due to higher sales and strong capacity utilization. Operating income and adjusted EBITDA both increased significantly, compared to Q2 2017, with adjusted EBITDA improving to $58 million in the quarter. Q2 was another strong quarter for AEC with significant growth in net sales, operating income and adjusted EBITDA compared to Q2 2017. Net sales, excluding the impact of ASC 606 and currency translation effects, increased 36%, while profitability continued to show improvement over last year. The increase in sales was primarily driven by the LEAP program. Sales of fan cases, fan blades and spacers for LEAP engines, which represented about 49% of AEC Q2 2018 sales, grew 49% compared to Q2 2017, reflecting the unprecedented steep ramp-up of this jet engine program. Higher sales of Boeing 787 fuselage frames, as well as F-35 and CH-53K components, also contributed to the growth in sales. AEC operating income improved to $4.1 million in the current quarter compared to a loss in Q2 2017 which included the charge for contract revisions. Adjusted EBITDA also showed good improvement as it increased to $15.1 million in the quarter, or 16.2% of net sales, as a result of volume increases and productivity improvement. Excluding the impact of the Q2 2017 charge for contract revisions, AEC Q2 2018 adjusted EBITDA more than doubled compared to last year. In R&D, our new product development activities, which focus on existing, derivative and new technologies and our process improvement projects, which aim to optimize our operational performance across AEC continued to progress well during the quarter. Our execution to-date on our major existing contracts, along with anticipated new contract wins, continue to provide the potential for AEC to reach annual sales of $475 million to $550 million in 2020. The potential for AEC beyond 2020 will be based not only on executing on the continued ramp-up of existing programs, on which we are already well established, but also on increasing share or acquiring first-time content on ramping programs, while at the same time winning new contracts on future commercial and defense airframe and engine platforms. The LEAP engine continues to be the preferred choice for single-aisle aircraft, as evidenced at the Farnborough Air Show, where new orders and commitments in excess of 800 LEAP and CFM56 engines were announced. This strengthens the already strong LEAP engine order backlog, which represents several years of production. It has also been reported that at least one-third of the A320neo-family aircraft in the Airbus backlog do not yet have engines selected, providing therefore a deep reserve of additional potential orders. Now let's go back to John for more details on the quarter. John?
John Cozzolino: Thank you Olivier. I would like to refer you to our Q2 financial performance slides. Starting with slide three, net sales by segment. Total company net sales in Q2 increased 18.9% compared to Q2 2017 and 17% [ph] from both currency effects and the impact of the new revenue recognition standard, ASC 606. Also excluding currency and ASC 606 effects, Q2 MC net sales were up 8.2% compared to last year and up 2.2% year-to-date. AEC net sales, excluding currency and ASC 606 effects, increased 35.7% in Q2 compared to Q2 2017 and 34.7% year-to-date. Turning to slide four. Total company gross profit margin was 36% in Q2 compared to 29.3% in Q2 2017. Gross profit margin in Q2 2017 included a 7.3% impact from the $15.8 million charge related to revisions in the estimated profitability of two AEC contracts. AEC gross profit margin was 13.5% in Q2 2018, reflecting higher sales and improved labor productivity. MC gross profit margin in Q2 improved to 48.9%, as a result of higher sales and strong capacity utilization. Slides five and six show net income and adjusted EBITDA by segment for the quarter and year-to-date. Adjusted EBITDA for the total company in Q2 2018 was $61.9 million compared to $30.6 million in Q2 2017, which included the impact of that $15.8 million AEC charge. On a year-to-date basis through June, 2018 adjusted EBITDA for the total company was $112.9 million. MC adjusted EBITDA was very good in Q2 at $58.5 million, bringing the year-to-date total to $107.5 million, both results well ahead of last year. AEC adjusted EBITDA in Q2 was $15.1 million and $28.6 million year-to-date, a good improvement in profitability compared to the full-year 2017. Moving to slide seven, earnings per share. We reported net income attributable to the company in Q2 of $0.94 per share compared to $0.03 per share in Q2 of last year. Q2 2018 earnings per share included a benefit of $0.13 per share for tax adjustments, mostly related to the reversal of a valuation allowance in Europe. Excluding that item and the other adjustments noted on the slide for both periods, net income attributable to the company was $0.82 per share in Q2 2018 and $0.16 per share in Q2 2017. Once again, as a reminder, Q2 2017 included a $0.31 per share impact from that AEC charge. Lastly, slide eight shows our total debt and net debt. Total debt increased about $4 million to a balance of $525 million at the end of Q2. That increase was mostly offset by a $3 million increase in cash, resulting in a small $1 million increase in net debt. Payments for all capital expenditures in Q2 2018 were about $23 million, reflecting continued investments in equipment to support multiple ramp-ups in AEC. We continue to expect capital expenditures to range from $20 million to $25 million per quarter through the second half of the year. Now, I would like to turn it back to Olivier for some additional comments before we go to Q&A.
Olivier Jarrault: Thank you John. Now let's turn to our outlook. The strong performance in MC over the first half of the year places the business on track to exceed the high end of our expected full-year adjusted EBITDA range of $180 million to $195 million. Assuming no significant changes in global economic conditions or currency rates, we currently anticipate adjusted EBITDA in Q3 and Q4 to be in the range of $47 million to $51 million per quarter. We expect AEC to continue to perform well over the second half of the year. For the full-year 2018, we expect the increase in net sales to end up closer to the upper end of the 20% to 30% range we discussed last quarter. And while profitability could fluctuate somewhat over the second half, full-year adjusted EBITDA as a percentage of sales should show strong incremental improvement compared to 2017. Beyond 2018, we remain on track towards our goal of 18% to 20% adjusted EBITDA as a percentage of sales in 2020. So in summary, this was a very good quarter for the company with outstanding financial performance in MC and solid sales growth with good profitability in AEC. With the strong year-to-date results and our expectation of good performance over the second half of the year, our financial outlook for both businesses for the full-year 2018 is for improvement compared to 2017 at levels in line with or better than previously discussed expectations. With that in mind, let's go to the line for any questions. Operator?
Operator: [Operator Instructions]. Our first question is from the line of John Franzreb with Sidoti & Company. Please go ahead
John Franzreb: Good morning Olivier and John. Congratulations on a great quarter.
Olivier Jarrault: Thank you.
John Franzreb: I actually want to start with Machine Clothing. The 8% organic growth year-over-year is kind of stellar considering recent trends in that business have been flat to down for quite some time. Can you talk a little bit about what's driving that demand?
Olivier Jarrault: Yes, sure. John, I think the best thing to do is also to not only to look at one quarter or second quarter only, but really to look at our sales growth, if you will, for the first half of the year versus last year. So if you look at it like this, it's really a 2% growth year-over-year, right. Where we have seen in the first few months of the year the decline, if you will, in publication grade PMC sales versus last year really on the low side of the range of 5% to 10% declining rate that we have communicated, right, for the past few years, right. So lesser decline than expected, than what we were used to and also, those declines more than offset by, as we said already and we continue to say, a global increase in packaging grade and tissue grade PMC sales. Overall, netting 2%, right, for the first half. Now if you look at the PMC market, right, a little bit more detail, at the height you could say that for our expectations for the year, right, the U.S. market roughly stayed stable due to packaging and tissue consumption grade offsetting decline in publication grade. Canada, as you know, continues to shrink driven by the decline in publication newsprint production. However, Brazil is pacing upward. If you switch to Europe, no news for you. As you know, the European market continues to drop. One of the key factor or key reason is the fact that many, several publication machines have been converted to packaging machines but packaging machines consume less PMC, if you will, than publication machine. So we will continue to see a drop in the European market. Good news, Southeast Asia is growing as well as China, as we have shared with you already. So that gives you a glance at the overall PMC market. It's very positive.
John Franzreb: So would you expect the second half of the year revenue in PMC to be above or below the year ago?
Olivier Jarrault: Well, I think that going forward in the next six months, I continue to say from a sale standpoint that the increase in PMC sales in packaging and tissues will at least offset, right, the decline in sales in publication, right. And so we should see, right, the second half of the year, right, in line with that flat or in line, right, a little bit of increase, right, versus last year. Okay?
John Franzreb: Okay. And regarding engineered components, you have bumped your expectations on revenues to the high end of that 20% to 30%. Could you just talk a little bit about, is it better than expected or faster than expected ramp in LEAP? Or is it other programs that are now ramping up faster than you probably expected in beginning of the year?
Olivier Jarrault: So yes, I think it's a very good question. I think it's a combination of both, right. And it's a combination of both, it's as a result also, if you will, of our improvements in productivity across all the AEC plant. It's not only serving the LEAP engine but also plants serving the F-35 and the Boeing 787 or the CH-53K platform. So as I have shared with you already when we met, right, you know that we have been deploying quite strong operating systems in the aerospace segment in the past few months, which are starting to yield, if you will, some good improvement in terms of labor productivity, labor efficiency, of operational effectiveness, I would say, of our key critical assets. As a result of that, we see, if you will, a nice momentum, a nice increase in our production and therefore our sales, right. So you saw it. You saw a 36%, right, increase year-over-year in Q2. That follows a 33% increase in Q1 versus the previous year. And therefore we feel confident, right, not only based on the growing demand, steep unprecedented demand of the LEAP engine programs, but also our ability to produce at a higher rate to be on the high range of 20% to 30%. Okay? Okay?
John Franzreb: Okay. I will get back into queue. Let somebody else ask some questions. Thank you.
Olivier Jarrault: Thank you.
Operator: Next, we will go to the line of Ben Klieve with Noble Capital Markets. Please go ahead
Ben Klieve: Hi. Thank you. I would like to piggyback quickly off of a couple of John's questions here, first on the MC side. Based on your comments about kind of looking at this from overall first half level as opposed to looking at the second quarter by itself, did your business get pushed from the first quarter into the second to deliver that kind of a growth rate?
John Cozzolino: Hi Ben. This is John. Ben, I wouldn't really think about it as being pushed. As you know, sometimes with this business from quarter-to-quarter, you can get some timing and some other aspects. That's why we try to tend to look at it from a year-to-date perspective to really understand where we are from a sales growth perspective. So it wasn't really that it got pushed, it just happened that there was a particular strength in the second quarter. And when you look at it over the first six months of the year, you get a better view of what the overall trend has been thus far for the year.
Ben Klieve: Okay. Yes. That's fair. And so then, I guess based on that comment and there wasn't any one new customer or large order, anything getting pulled in that really skewed that growth, it really was just kind of a timing issue, the business across the board just was strong in the quarter. Is that fair?
John Cozzolino: Yes. There could be a particular customer with a certain activity that could drive strength or weakness in any given quarter. But there was nothing notable enough that I would consider significant pull-out for disclosure.
Ben Klieve: Okay. Perfect. And then on the AEC side, I am curious if you can talk about the cadence of the ramp here for the second half of the year. Based on first half results, the businesses would have to decelerate a bit to end up below 30% growth. Are there any programs that you are expecting to flatten out here in the second half of the year? I know you kind of touched on that with John, but I am just curious if you can kind of really hone in on any specific programs on the build rate side decelerating here?
Olivier Jarrault: No. Actually, not at all. As you very well know, coming from the Farnborough Air Show, you very well know how strong and even stronger today the order book for the LEAP program is. I think it's before we walked into Farnborough and the order book was about in excess of 15,300 engines, right, several years of production. You heard in Farnborough the CEO of CFM reiterating and reconfirming, right, the goal of 1,100 to 1,200 engines, right, to be produced this year in 2018, ramping up to 1,900-plus engines in 2019. So really, 800 CFM and LEAP-X orders commitment placed during the show. So definitely no weakness at all on the LEAP side. And you very well know that it's all driven by the continuous increase, projected increase, confirmed again at Farnborough by both Boeing and Airbus in regards of the Boeing 737 MAX build rates and now going from 52, as you say, or 50 towards 57 or 60 next year. So, from that standpoint, very good news, right, coming from the offshore. Nice growth, nice increase in build rates for single-aisle and for the associated jet engine LEAP program. So now if you look at the other platforms where we have very nice position, very well established position now, could it be Boeing 787 which, as you know, we produce frames, right, fuselage frames, confirming, right, an increase in build rates from 12 to 14 as we move on to next year. The F-35 programs and the CH-53K programs as well ramping up in the next few months. So very strong order book and no sign at all of any weakness. So therefore, we keep on increasing, right, our revenue versus last year.
Ben Klieve: Well, very good. And just kind of building off that with the high demand for the LEAP here, can you comment on any additional pressures you are seeing to increase your output beyond current levels? Is there any renewed interest in your customers that are squeezing a bit more juice out of you given that demand?
Olivier Jarrault: Well, I mean, we are continuously ramping up, right? I mean, we have been doing it in Q1 and Q2. We will keep on doing it. We have definitely pressure in the system to ramp-up, particularly on the LEAP, but we have been able to demonstrate it. We have very finite capacity expansion plan. We keep on hiring employees, on training them. And by the way, our employees are becoming more and more efficient, right. So we are pleased, while tracking on a daily manner, the labor utilization, labor efficiency, to see a nice improvement. Believe me, we track that on a daily basis and by plant. So definitely some pressure that we are very well used to, but we are delivering against that ramp. And as I have said before, I continue to feel and to demonstrate that the ramp is achievable.
Ben Klieve: Perfect. Thank you. Thanks to you both for the color. I will get back in queue. And congrats on a very good quarter here.
Olivier Jarrault: Thank you.
Operator: Next, we will go to the line of Drew Lipke with Stephens. Please go ahead
Drew Lipke: Hi Olivier and John. Good morning. Congrats on a great quarter.
Olivier Jarrault: Good morning. Thank you.
Drew Lipke: Just starting on machine clothing, maybe just looking at the gross margin performance in the quarter, I am sure a lot of the improvement was tied to just better volume utilization. But how should we think about some of the puts and takes as we look to margin performance in the back half of the year? And should we still expect gross margins to be, for the full-year, kind of in line with the average that we have seen over the last two years?
Olivier Jarrault: Well, as you pointed out, I mean, very good gross margin in Q2 at 48.9%. As you saw, a nice and just noticed a nice improvement versus last year, same quarter at 48.3%. The full-year of 2017 was 47.5%. While we could expect little bit lower, right, Q4 gross margins, it will certainly not be to the same extent as you saw last year and then we maintain it to higher level, right. So I think we are going to have a very good year, right, full-year in gross margin, right. John, any comment?
John Cozzolino: No. Drew and one thing that's important too when you are looking at the margin, this is a business that has a pretty high fixed-cost leverage. It works both ways. When you get the improvement in sales, you are going to see some improvement in the margin. So you have seen that really, if you look at it from a year-to-date perspective, a little over 2% increase in sales, good margin. Over the second half of the year, it tends to be a little bit lower than the first half for various seasonal reasons and that usually, again that fixed-cost leverage can work the other way. We could get a little bit of a drop off. As Olivier said, we don't expect kind of that fourth quarter drop off we had last year to that magnitude, but we will probably have some. But I think the way we are tracking is to show some improvement over last year.
Drew Lipke: Okay. And then SG&A, you guys did a great job keeping costs down there as well. Is this sort of the right run rate we should think about? Or is there anything one-off there? Or just any comments around SG&A as we look to the back half a year for machine clothing?
Olivier Jarrault: No. I think, we are very monitoring, I would say, our overall SG&A cost every detail on a weekly, monthly basis. That's something we really pay attention to and we continuously look for ways to, I would say, optimize, right, our organizational structure to lower our cost. So you can expect going forward, this year and in the years to come, to see us, John and I very focused and the management, the overall management really very focused on controlling those SG&A costs, right and on keeping them stable, right. Okay?
Drew Lipke: Okay. Yes. And then same thing on AEC, I mean, great job on managing cost there. And Olivier, I know you are implementing your operating systems to kind of measure efficiency in scrap rates and labor productivity and you called out labor productivity improvements this quarter. Can you just update us on how much of that is the systems that you feel like you have put in place? And kind of where we are in implementing that process? And how we should think about maybe SG&A cost for AEC going forward?
Olivier Jarrault: No. Absolutely, I think it's part of management, right, of managing the business, right. So yes, we are at the early stage after now five months of deploying across those AEC plants, say, standard operating systems coupled with, as I shared with you in the past already, of a very systematic discipline. You know it's all about disciplined execution. It's about disciplined manufacturing and financial operational execution, coupled with a daily follow-up with all our team, the entire team, financial and operational team, follow-up of our progress month-to-day versus forecast, both in terms of production but also in terms of yield improvement, in terms of critical assets effectiveness improvement, in terms of scrap and rework reduction and the whole production. So yes, we are, if you will, at the beginning of developing that system, developing also with the help of the financial group the right matrix that helps us monitoring how well or bad we are doing versus on a daily basis, right. So we are seeing some very nice influx, a very nice improvement and it can only improve, right and keep on yielding a better result as we move on, right, throughout the year and next year. That's why I am confirming, right, our objectives, right, of 18% to 20% EBITDA margins going in 2020. We are doing nice progress and I am very pleased with the way the team has been delivering and executing in the past five months.
Drew Lipke: Got it. Thanks a lot guys.
Olivier Jarrault: You are welcome.
Operator: [Operator Instructions]. We go to the line of John Franzreb with Sidoti & Company. Please go ahead
John Franzreb: Yes. A key competitor recently found some buyer in Machine Clothing. I was wondering if you guys could just address the competitive landscape there and how do you think that will play out now?
Olivier Jarrault: Yes, sure. Listen, I mean, ANDRITZ, as you know about, which as you just said about Xerium. So listen, ANDRITZ is a good company and this transaction will certainly increase, right, their presence in the global machine clothing market. That being said, way below our existing global industry leadership across the various segments of the machine clothing business, publication, packaging, board and packaging and tissues and towel papers. We are the leader, as I said, global leader far away from anyone else and we will stay definitely focused on providing superior value to our customers in terms of advanced technological solutions, helping our customers improve their productivity, decrease their maintenance cost, increase the effectiveness of their key assets. We will stay extremely focused on improving our global service levels in terms of on-time delivery, lead times and of course, increase our awareness and willingness to basically improve zero defects and yield zero defect quality products, right. So definitely that's what we are doing. In addition to that, we will continue globally across our manufacturing footprint to drive process and manufacturing productivity savings. And therefore, as a result, we all know throughout the MC team of Albany that we will maintain and even strengthen, I would say, our global position, global industry leadership position. Okay?
John Franzreb: Okay. And in your prepared remarks, Olivier, you kind of touched on the opportunity pipeline in aerospace. But there was talk in the past in the engineering component side of the business of exploring opportunities in the automotive sector. I wonder if you could kind of give us your thoughts about what that opportunity looks like now that you have been at the firm for a while?
Olivier Jarrault: Well, I mean, first, you know very well that we don't like to talk publicly about any potential strategic transaction. As the first part of your question, that being said, we always and we will always stay open, right, to any transaction in case they would provide very strong return and of course, maximize shareholder value. Now, I think your question was centered more particularly on automotive. And I think that on the automotive side, I would answer you that we prefer right now to stay focused for growth really on the aerospace side. We have a lot of work to do there. It is a great market to be in, right. I don't want, for the time being, I would say, I would prefer to stay focused, right, on our key markets being machine clothing and aerospace, right, for the time being. Okay?
John Franzreb: Okay. Fair enough. Thank you sir.
Olivier Jarrault: You are welcome.
Operator: And our next question is from the line of Christopher Hillary with Roubaix. Please go ahead
Christopher Hillary: Good morning.
Olivier Jarrault: Good morning.
Christopher Hillary: I just wanted to ask, as you are heading out towards your 2020 targets in aerospace and the success that you are having, could you help characterize where you see the next chapter of growth coming from, just given where the company's assets and footprint and expertise lie?
Olivier Jarrault: Yes, sure. I mean, as showed already by my predecessor, I think that, listen, the 2020 objective of delivering, if we summarize, round about $100 million of EBITDA, right, in aerospace is a good, healthy and a good target, right. We are going to wait and see how we finish 2018, right. We will see if we should, right, revise, right, those targets. But, I mean, for the time being, I keep roughly that 18% to 20% of $475 million to $550 million, $100 million of EBITDA in 2020 is a good objective. Now looking, I guess, beyond 2020, one, definitely there are three drivers of organic growth. First one being, to continue to execute on the ramp-up of the platforms on which we are very well positioned. You know that the CH-53K, you know that the F-35 and the Boeing 787 and even the single-aisle platforms and their engines will continue to grow past 2020. Then we have second key lever of growth is to acquire, increase the content on those platforms, both commercial and military. I cannot describe, of course, in detail publicly where they are, but we are working on it and there is potential. And then, regarding existing programs, there are several opportunities which we are working on, as we speak, to acquire content, ongoing platforms on which we are not, right, today, especially in Europe, which we are also working very closely on. And then, the third lever of growth beyond 2020 is really to win new contracts on the future, right, jet engine and airframe platforms and of course, one of them that we have in mind, all of us, is that the potential launch, right, of the Boeing NMA 797 and all the opportunities, if you will, that platform and its engine would offer to us in light of our competitive advantage and the mechanical properties and the weight reduction and the damage tolerance properties that are proven, in particular 3D woven RTM technology offers, right. So ample opportunities, if you will, past 2020. Once again, I am taking about organic growth, okay?
Christopher Hillary: Great. Thank you.
Olivier Jarrault: Welcome.
Operator: And we have no further questions. You may continue.
Olivier Jarrault: Thank you all for attending the call today. I really did enjoy speaking with you and look forward to meeting you in person in the future.
Operator: Thank you. Ladies and gentlemen, a replay of this conference call will be available at the Albany International website beginning at approximately noon Eastern Time today. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive TeleConference Service. You may now disconnect.